Operator: Good day, ladies and gentlemen, and welcome to the thirdquarter 2007 Gulfport Energy earnings conference call. My name is Samuel, andI'll be your operator for today. At this time, all participants are in alisten-only-mode. We will facilitate a question-and-answer session toward theend of this conference (Operator Instructions). As a reminder, this conference is being recorded for replaypurposes. I would now like to turn the call over to today's host, Mr. JohnKilgallon. Please proceed.
John Kilgallon: Thank you, Sam, and good morning. Welcome to the GulfportEnergy third quarter 2007 earnings conference call. I'm John Kilgallon,Director of Investor Relations. With me today are Jim Palm, Chief ExecutiveOfficer; Mike Moore, Chief Financial Officer; and Mike Liddell, Chairman of theBoard. During this conference call, representatives of the Companymay make certain forward-looking statements relating to the Company's financialcondition, results of operations, plans, objectives and future performance. These generally can be identified by the fact that they donot relate strictly to historical or current facts. We caution that the actualresults could differ materially from those indicated in our forward-lookingstatements due to a variety of factors. Information concerning these factors canbe found in the Company's filings with the SEC. In addition, we may make reference to other non-GAAPmeasures, this morning. If this occurs, the appropriate reconciliation to theGAAP measures will be posted on our website promptly. Today, we'd like to walk you through an overview of ourthird quarter earnings and update you on our operations in West Cote BlancheBay field as well as our exploratory activities in Hackberry and an update onour investment plans. We'll start this morning with Mike Moore, our CFO, who'llprovide an overview of the third quarter results. Mike?
Mike Moore: Thanks, John. In the third quarter 2007, the companyreported net income of $12.7 million, or $0.33 per diluted share as compared to$0.26 per share in the second quarter of 2007 and $0.37 per share in the thirdquarter of 2006. In the third quarter of 2007, the company generated $21.3million of the EBITDA and $20.9 million of operating cash flow before workingcapital changes. Production volumes for the third quarter 2007 totaledapproximately 440,000 barrels of oil equivalent, or BOEs, or approximately4,790 BOEs per day, which is up 11% from approximately 396,000 BOEs in thesecond quarter of 2007 and up approximately 16% compared to the third quarterof 2006. Total net crude oil production for the quarter wasapproximately 4,400 barrels of oil at an average realized price is $70.46 perbarrel. Total net natural gas production for the quarter was approximately 218million cubic feet at an average realized price of $6.88 per MCF. Measured (ph)third quarter realized price was $68.05 per barrel of oil equipment. For the third quarter, leased operating expenses wereapproximately $4 million, or $9.10 per BOE. LOE had trended higher this yeardue to the increase in associated labor and maintenance related to adding threenew compressors and a production barge in southern Louisiana. In addition, thetotal work down the field has increased, which also drives adequately cost. G&A remained virtually unchanged for the quarter atapproximately $1.2 million, or $2.71 per BOE. DD&A was $7.8 million, or$17.81 per BOE for that quarter. DD&A has risen over the past few quartersdue to the mix of wells we've drilled this year. For the third quarter 2007, total capital expenditures,including the activity in Canada, increased to $49.2 million on an accrualbasis as a result of the added activity of having two rigs drilling at bothWest Cote and Hackberry. CapEx attributed to our project in Canada totaled $5.2million this quarter. We do expect lower CapEx is in the forth quarter due tothe lower rig count in the both fields. Total estimated CapEx for the year isnow expected to be in the range of $130 million to $140 million. However, thisis a $10 million increase completely attributed to our Grizzly activities inCanada. The company recently filed an S-3 Shelf Registrationstatement to reestablish a $100 million of availability. Our previous shelf hadbeen drawn down to approximately $78 million as a result of our 1 million shareoffering in July '07, which was priced to $22 per share. We expect that our cash flow and credit facilityavailability will fully fund our capital needs for the remainder of the year.The shelf filing then provides with added flexibility in the event the need forcapital arises. We currently have $36.5 million in outstanding debt on ourrevolving credit facility and term loans of $4.5 million associated withfinancing the gas compressors. As a reminder, our revolving credit facility hastotal availability of $60 million. We expect total borrowing at yearend to be approximately $41million. Recently the company added forward contracts for the second half forthe 2008. We had 2,000 barrels a today at approximately $80 per barrel fromJuly to December 2008, before transportation and quality premium adjustments. Our hedging strategy remains the same. If we see prices thatenable us to lock in profits in the future, we'll act on it. We haveopportunities within our portfolio, and the hedges provide downside protectionand assurance of some future cash flow levels. A complete listing all the companies' forward salescontracts can be found on the schedules attached to our earnings press releasefrom this morning. As at November 6, year-to-date production is approximately1.4 million wells barrels of oil equivalent, which include volume from WestCoast as well as Hackberry. Our original guidance range for full year 2007 was1.7 million to 1.9 million barrels of oil equivalent. We continue to remain focus on our production target andcurrently expect to be at or just slightly below the low end our range. Jimwill elaborate further on our production and provide an update on ouroperation. Jim?
Jim Palm: Thanks, Mike. In the third quarter, we continued to grow ourproduction base at West Cote and began bringing on new production from ourexploratory efforts at Hackberry. At West Cote, we've drilled six wells this quarter and allsix wells are productive. Year-to-date, we have drilled 22 wells at West Cote,of which 18 are productive and 4 were non-commercial. We remain on track todrill our projected 26 wells at West Cote for the year. We performed 12 recompletions in the third quarter at WestCote, bringing our year-to-date total to 49 recompletions. As Mike mentioned,we are behind on our production guidance of West Cote. We've maintained an active drilling program at the fieldover the course of the year. However, this year' s program has not deliveredthe expected level of growth as planned. The late wells drilled this year have had qualityperformance issues, and the number of dry holes is up this year as well. Inaddition, we've also battled a few infrastructure issues because of thesubstantial growth we've tried to achieve this year. We estimate we weredeferred about 25,000 barrels of oil this quarter. Until we see improved yields from our new wells, we will bemaintained a one-rig program at West Cote going further. One rig should becapable of drilling 17 to 20 wells in a calendar year. This deal continues to be a valuable core asset to thecompany, given its production is prominently heavy Louisiana sweet crude, whichprovides significant cash generation at current commodity prices. Capital will be closely watched, going forward, to insureadequate return on dollar spent. We're also continuing to look at the MLPmarket. Given recent premiums paid for properties with similar cash flowcharacteristic, we believe, a portion of our West Cote field fits in thatmodel. Turning to Hackberry. Our exploratory efforts are providedmeaningful production this quarter. Production from the Hackberry field thisquarter totaled 70,000 barrels of oil equivalent net to Gulfport. Let me briefly summarize our activities in the Hackberryfield. To-date, we have drilled and tested 11 wells during this exploratoryprogram, which is on pace for our projected 12 to 14 wells in 2007. We haveseven wells that are currently producing and two wells there are awaitingrecompletion or sidetrack and two wells that were dry holes. Let's get into alittle more color around the producing wells. Of the seven producers, two are outstanding wells. Those ifyou were on our field tour, you'll remember seeing those logs hanging in ouroffice, these wells are averaging over 250 barrels a day net to Gulfport. Andthis is one of the sweet spots we were looking for where we're going to bedrilling next year. Four other wells are solid producers, and those wells areaveraging over 100 barrels a day net. One well is pretty skinny. It's averaging less than 30barrels a day net. In total, we're averaging over 900 barrels a day net atHackberry. We just finished drilling our 12th well and the run logs. And itlooks to be productive, and we are currently completing that well. Throughout this year, we've evaluated our interpretation ofthe 3D seismic, electric logs, and our limited production history from thefield. We've continued to stress that Hackberry is an exploratory program andin a learning process at this stage. Unlike any such program, we are findingout where the sweets spots are. The two wells drilled from a single (inaudible) locationcontinues to be the best performing well in the program. Following the successfrom these wells, we started the permitting process for several additions andthe trend. We also expect our average drilling cost during the calendar yearwill be less than this year because the targeted depths on will not be as deep. Overall, we remain encouraged with the upside potential ofour Hackberry field. Our exploratory program is ongoing. We have further testedmore production history to better understand the more efficient manner todevelop this field. We are currently permitting 22 wells for future drillinglocations. We feel we've learned a lot this year. And we think ourdrilling performance will be more capital efficient during 2008. Our programnext year will be success-based. It will center around to offset for bestproducers, and it will be more targeted with less capital. Now, the Canada. For those new to Gulfport, Gulfport owns anapproximate 25% in interest in Grizzly Oil Sands ULC. Grizzly has continued toincrease its acreage position in the oil sands in Alberta and now hasapproximately 511,000 acres in the oil sands play. The third-party assessment of only a third of the acreage isestimated at 11.9 billion barrels approximately of original oil in place overapproximately 153, 000 acres. More specific details of the assessment can befound in our press release from this morning. Based on this assessment, Grizzly estimates 4 billionbarrels of recoverable resource. That means 1 billion barrels of recoverableresource net to forward. Grizzly is opportunity rich in this play. Let's walk through the brief near-term development timeline.Grizzly intends to drill 80 to 124 holes this coming winter and then submit forapproval a permit to begin inspection 1,000-barrel a day Side B facility atAlger Lake. Construction would begin in 2009. The first team would beexpect to by early 2011. First production followed by mid 2011. Customerprojects would begin the permit process annually with the intend of bringing onincremental 10,000 barrel a day projects annually other then 2012. We realized to meet such timeline there will be capital toraise, facilities to build, permits to get, however the beauty of this play isthe resources base is enormous and it has 11 geologic risk. Grizzly has announced that they are considering raisingcapital from third parties to fund its 2007, 2008 winter delineation drillingprogram and other capital requirement. We understand that Grizzly is seeking toraise approximately $150 Canadian or approximately 9.5 to 12.5% of the company. However, the actual amount that will be raised and thepercentage interest may not be determined at this time. I believe the Gulfportremains the only small cap U.S. independent with a stake in oil sands play. And now let’s move back domestically and discuss Gulfport’sacreage in the Williston basin. Gulfport plans to increase activity on its acreagein the Bakken shale play in Montana, North Dakota in the Williston basin.Gulfport owns a 20% interest in a company known as Windsor Bakken, LLC, whichis born in 2005. Company currently owns approximately 64,000 net acres, or12,800 net acres to Gulfport. We have been actively accumulating acreage and activity onthe play has really picked up. We recently received 11 well proposals. EOGannounced last week during their earnings call, the two well in Montreal Countyhad initial production of 2000 barrels a day. One of the well we’reparticipating there with EOG is a direct offset well to these producers. EOGalso said the Bakken was their highest rate of return play for their entiredrilling program. Our CapEx could grow materially in 2008 in this area basedupon the rate at which we receive new well proposals and further announcesuccess in the area. In closing, in the third quarter we continue to grow ourproduction organically and increased volumes by 11% versus second quarter of’07. We’ll continue to scrutinize our capital spend of West Cote to ensure weare receiving an accurate return even with these current high prices. At Hackberry, we made great strides in understanding in thisfield through our drilling program this year. We remain excited about ourpotential to grow this asset. Hackberry has the capability to be a veryprofitable field for us and we have a sizeable room (ph) ahead of us. In Canada, activities are underway and preparation for abusy winter including Grizzly’s clear hole (ph) well program in 3D seismicshoot. And as I just mentioned, we recently allocated capital in 2007 to theBakken oil shale play. We have a modest acreage footprint and are expanding ouracreage even further. We also continue to look at the M&A market for assetswith compelling value as well as the MLP trades. As I mentioned, Gulfportassets including West Cote, could be better assets for MLPs and for Seacorps(ph) and we are concerning some MLP activity. We remain very bullish on oil and remain oil focused. Ournear term production from Louisiana provides substantial cash flow. We havebroadened our activity base, included the Bakken play this year. And alreadyhave exposure to an estimated 1 billion barrels of recoverable resources net togo forward in Alberta. I believe this is an unmatched, all cap oil-focusedportfolio and now I would like to turn the call back to John. John.
John Kilgallon: Thanks, Jim. Sam, at this point, we would like to turn thecall over to the Q&A section, if you could please queue the questions?
Operator: (Operator Instructions) Our first question comes from RonMills with Johnson Rice. Please proceed.
Ron Mills - Johnson Rice: Good morning, guys. As it relates to the Bakken play, justout of curiosity, there is a lot obviously have been said about that playrecently, can you give us an idea of where figure (inaudible) 12,000 net acresare located in terms of potential counties and beside the OEG, who are some ofthe other operator are who have proposed wells to you?
Jim Palm: You know, Ron, 35% of our equity is in Montreal County, 50%of the acreage is in Dunberg and McKenzie counties, which are nearby and theproposals we have to date are from EOG, Marathon, Headington and Continentalprimarily.
Ron Mills - Johnson Rice: Okay. And how quickly do you think you will get well drilledin and/or have data to talk about on this place.
Jim Palm: Well, we are trying to see what’s going to happen. The thingsare speeding up and we are participating in wells right now. We’ve alreadycommitted to about a $1 million so far and the last part of 2000. And Ron it’sreally not out there. We are acquiring more acreage. You know we will get someguidance before the end of the year but I wouldn’t be surprised if next year wespend $1 million or more.
Ron Mills - Johnson Rice: Did you say $10 million?
Mike Moore: $10 million or more up there because we're already at a$1,000 net to go forward this year and the year is not over.
Ron Mills - Johnson Rice: Okay. Small clarification on the Grizzly, if they go out andraise money, you on 25% entity, which you receive proceeds from that would beat the actual company, corporate levels selling shares.
Mike Moore: We would not receive proceeds from them.
Ron Mills - Johnson Rice: And then finally in West Cote in Hackberry this you hadthree to four rigs operating throughout the majority of the year. You mighthave read into your comments that next year you plan on having one rig activein both plays for majority of the year and to the expense you get dependingupon timing for permits for the additional land locations that you may end upwith the second rig at Hackberry. I’m just trying to get sense is the 2008 well count versus2007
Mike Moore: This point of West Cote, one rig going will definitely bedown for hope this year and Mike said that could change, but that’s the planright now. As far as Hackberry there’s going to be times (ph) two rigsgoing because we drawn both in Lake and on land. But I think for most partprobably want one rig will get us there next year and one rig in time.
Ron Mills - Johnson Rice: And would you be able to drill if, are you still planning ondrilling them, as similar number of wells in Hackberry next year.
Mike Moore: It’s got basic sense driven, but we like and hope we say andwe going to plan, as we go along, but good things are happening.
Ron Mills - Johnson Rice: I just want one thing. You clearly, the two well, the besttwo wells that you talked about it at Hackberry what did you say thosereproducing per well.
Mike Moore: That’s been about 250 barrels at day net to Gulfport andthat’s per well.
Jim Palm: Okay and then the production that you talked, you mademention of that West Cote some of that was well performances. Can you give uslittle more color on the well performance and also what was not wellperformance related IE, its sounds like you had compressor, you added in newcompressor and that took time.
Mike Moore: That’s right. First with regard to the well performance, wejust didn’t grow to do well this year, as we have the last couple of wells,last couple of years and to talk about we had dry holes (ph) surely and we havesome reported wells early so that challenges to meet our numbers this year. But sure as regard to the compressors we had some runtimeissues with the new compressor, but we also had some stand by over compressorsthat we had more runtime with and we, but we got programs to replace in those, We had to slow down for over a while, while we put in fifthcompressors that were ordered last year. The net affect to that was about25,000 barrels of which heard. Because we couldn’t come up with the gas-to-gaslight thing.
Ron Mills - Johnson Rice: Okay. Let me let some others listen of (inaudible) back onit and I will jump back.
Operator: Next question comes from Neal Dingmann with Dahlman Rose.Please proceed.
Neal Dingmann - Dahlman Rose: Good morning guys.
Mike Moore: Good morning, hi Neal.
Neal Dingmann - Dahlman Rose: Say Jim you say are there infrastructure West Cote wouldthat just sort of temporary you see that you had there and I mean I think youshould be or you said now going forward.
Mike Moore: Hello Neal. I am going to worry too much about, it wastemporary the long operation that we got a couple of mechanics that we justhired that first one came on this week and they are work 7 and 7. So. Itseveral pampers (ph) have been take care of things now we are going to have twofull time mechanics, so we think we got the problem take care.
Neal Dingmann - Dahlman Rose: Okay. And then moving on the Hackberry, we are going toafter few more wells where you then start include that guidance in and you wantto seen few more wells behind that will be seen in your guidance today incorporate set.
Mike Moore: Yeah. We will give ’08 guidance some time before the end ofthe year.
Neal Dingmann - Dahlman Rose: Okay. And then on the Bakken you say besides maybe partnernot, is there are acres available or is that pretty come to combine now outthere on that piece?
Mike Moore: We are out there still pick up acres, still acres toavailable. But it’s all area, its competitive.
Neal Dingmann - Dahlman Rose: Sure, okay. And then on -- you didn’t mention anything newto report on that Thailand or the other forum play?
Mike Moore: Not really, things are going long this time, but nothingreally. It’s driven long.
Neal Dingmann - Dahlman Rose: Okay. And then lastly, I assume it still on, you mentionedabout maybe had in rigor next year I guess still rig availability that stillpretty good down there?
Mike Moore: Yeah. No problem.
Neal Dingmann - Dahlman Rose: Okay. Okay, thanks guys that’s all for now.
Operator: Next question comes from Scott (inaudible). Please proceed.
Scott- Analyst: Hi guys. Just wanted if you guys can give me a little morecolor on the dry holes, you guys are run into this year?
Jim Palm: Yeah. For the most part its been released, - we have thedrill some wells in Halo around West Cote where we don’t have producing wellthose state Nexus hold that agreed to drill two wells on high level like weusually do, actually had one producer and one dry hole out there.
Scott- Analyst: Okay. Will there any implications on year end reserves withthe dry holes?
Jim Palm: No, I don’t know surely tell, we still got the rest of theyear to drill.
Scott- Analyst: Okay. Now moving to Grizzly, can you guys comment on thepossible impact of the proposed Alberta royalty increase?
Mike Moore: No. It hasn’t been as big a deal, as we though it might.We’re seen reports from the investment bankers up there. We’ve seen the way thesmall cap starts and responded, seems to be more of a non-issues and we thoughtit would be.
Scott- Analyst: Okay. And with respect to possibly, you know being someassets, what are the declines on assets that you guys are first thinking aboutdoing that?
Mike Moore: We got lot to annualize before we really do that, and we’relooking at a whole (indiscernible) and whole field that it’s complicated butnormal. We think there is some chance over its going to fit the modal prettywell, but we’ve got a lot of research still to do.
Scott- Analyst: Okay. Great. Thanks.
Operator: Next question comes from Bo McKenzie with Pritchard Capital.Please proceed.
Bo McKenzie - Pritchard Capital: Hi guys. You just give me the couple of my questions.Thanks.
Operator: Next, we have the question from Rose Dahlman with MidwoodCapital. Please proceed.
Rose Dahlman - Midwood Capital: Hi, guys. Congratulation on your progress. Jim, I justwanted to make sure, I understood some math that you had, you said you would beselling your ballpark 10% of the Canadian Oil Sands for $1.5 billion. So thatwould mean -- sorry for $150 million. So the plan roughly $1.5 billion with thevalue. You guys, with the little less than quarter-than-quarter, soit looks like there about the $350 million of value. The Gulfport 9 or $10 ofshare with the value in Canada, Montana math right?
Mike Moore: Well, I’ll tell you, what’s you're saying, it sounds like asign but its not really our place to speculate about the Grizzly values, andforth. So we can’t to have hold up I’m talking about that.
Rose Dahlman - Midwood Capital: That’s Okay. I was just going of that you're going to raisea $150 million and that would be 9.5 to 12% of Grizzly, so I was just backinginto sort of the implied value of Grizzly at about $1.5 billion?
Mike Moore: We didn’t get match their time stand good.
Rose Dahlman - Midwood Capital: Okay. And then maybe you can comment on - or maybe not but Iknow noted in some cases valuations up there been it has a dollar fullrecoverable, so in this case we have $4 billion recoverable. What needs tohappen to these assets before sort of conversion, conversion on that valuationor before it begins to look like the property that transact with thatvaluation?
Mike Moore: Well, I think we’re just going to draw some more well, so wecan evaluate the property better that’s all the engineering firms need, butwe’ve just evaluated the tiny fraction of our acreage so far and those we drillwells will get more of this included.
Rose Dahlman - Midwood Capital: Okay. Very good. I appreciate to take my questions.
Operator: Next we have follow on questions from Ron Mills with JohnsonRice. Please proceed.
Ron Mills - Johnson Rice: Any ideas, guys? Next year in terms of on a lower rig count.What the capital budget would look like and more importantly, I guess how muchdo you think you will end up spending up in Canada?
Jim Palm: Ron, I’m not sure on Canada at this point, we going to drill80 to 120 barrel up there. So those economic should be about the same, butbeyond that I’m not sure for Canada. But also as it relates to, are you askingabout our…
Ron Mills - Johnson Rice: With this year, you’re going to spend..?
Jim Palm: We’ll -- next for West Cote Lake as well.
Ron Mills - Johnson Rice: Exactly, its sounds like that will be down a little bitrelative to this year.
Jim Palm: Right. Our cost will be down. Our cost for well have --we’ll be about the same in West Cote next year, as they were this year will bestrong as wells at this point. We’re still working on our capital budget. Wedon’t know for sure we’ll no more latter in the year.
Ron Mills - Johnson Rice: Okay. And then what are you, you sounds like you also issuedsome size make up in Canada. What’s that design to do?
Jim Palm: Ron, this will be specific on Algar Lake this year, 3D. Andit helps you model your reservoir enough your plan, your horizontal wells. It’sjust to really understand the reservoir there because we anticipate we don’tprovide the facility there.
Ron Mills - Johnson Rice: And any latest update on what you all think the cost of the10,000-barrel a day a facility would end up running?
Jim Palm: Yes. More or less in the $215 million range. Just to getballpark number.
Ron Mills - Johnson Rice: Okay. Thank you guys.
Operator: (Operator Instructions) We have a question is from Rob Burt(ph) with CellPoint Capital. Please proceed.
Rob Burt - CellPoint Capital: Hi, guys. I heard before that you all mentioned putting partof West Cote into an MOP. How much West Cote production would you all bethinking about putting into an MOP?
Jim Palm: Rob, we are still just exploring idea, this is too early totell, But and we might put in anyone, we’ll see.
Rob Burt - CellPoint Capital: Okay. Thanks.
Operator: Mr. Kilgallon, we have no further questions at this time.I’ll turn the call back over to you for any closing remark. You can hear me?
John Kilgallon: Thank you, Sam. The replay of this call will be available temporarilyon the company’s website and can be accessed at gulfportenergy.com. Thank youfor your interest and time in Gulfport this morning. This concludes our call.
Operator: Thank you ladies and gentlemen for your participation intoday’s conference. This concludes the presentation, you may all disconnect.Have a great day.